Operator: Welcome to the second quarter 2008 Media General earnings conference call.  (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Lou Anne Nabhan, Vice President.
Lou Anne Nabhan: Welcome to Media General’s conference call and webcast.  Earlier today we announced second quarter 2008 results and June 2008 revenues.  Both press releases have been posted on our website.  The comments from today’s conference call will be posted immediately following the call. Today’s presentation does contain forward-looking statements which are subject to various risks and uncertainties.  They should be understood in the context of the company’s publicly available reports filed with the SEC.  Media General’s future performance could differ materially from its current expectations. Our speakers today will be Marshall Morton, President and Chief Executive Officer; Reid Ashe, Executive Vice President and Chief Operating Officer; and John Schauss, Vice President-Finance and Chief Financial Officer.  Marshall will be our first speaker.
Marshall N.  Morton: For the second quarter, we reported earnings from continuing operations of $0.08 per share, not including severance costs of $0.14 per share.  This result is consistent with the guidance we provided on June 10. The results we reported today for the second quarter are preliminary only because we are completing impairment testing of goodwill and other intangible assets.  We expect to record a non-cash impairment charge in the range of $500 million to $550 million after tax.  We will report the final amount when we file our Form 10-Q, on or before August 8.  The charge will reduce the book value of goodwill, FCC license, and network affiliation intangibles, and certain other assets. We determined that, in view of the continued economic slowdown, along with the market’s perception of media industry equity valuations, that this was the appropriate time to undertake impairment testing.  The charge, of course, is non-cash and will not impact our ability to operate, reduce debt, or move forward with our ongoing transition to the digital world. Looking at the quarter on the basis of continuing operations, our performance was primarily attributable to decreased publishing segment profit.  Partially mitigating the year-over-year drop in divisional profits was lower interest expense and an additional gain related to last year’s fire at our Richmond printing plant.  Total operating costs in the second quarter, excluding severance, decreased 6% compared with the prior year, reflecting the benefit of the aggressive actions we have taken to reduce our workforce and cut other costs. We have taken significant action to reduce costs since the beginning of 2007.  Once the last details of our plans are executed in the third quarter, we will have reduced FTEs by 750 from the 6,900 that were in the place at the beginning of 2007.  Importantly, we will have removed approximately $40 million of annualized cost.  We began to see some of these savings in 2007, expect to net about 40% of that amount for the full-year 2008, and will benefit fully from these actions in 2009.  All of the associated severance expense has been accounted for. Moving on to asset sales, we were pleased to complete the sale this week of the second and third of five stations we are divesting.  Late Tuesday, we closed on the sale of our stations in Panama City, Florida, and Alexandria, Louisiana, to Hoak Media.  We continue to expect to realize total proceeds from the sales of all five stations of $100 million to $105 million.  The proceeds have been and will be used to reduce debt.  The total reduction is expected to be $60 million to $65 million after tax. Now I’ll ask Reid to provide more details on the performance of our three operating divisions in the second quarter.
O.  Reid Ashe Jr.: For the second quarter, publishing division profits of $6.8 million compared with profits of $22.6 million a year ago.  Revenues declined from $133 million to $114 million.  Classified, down 29.5%, drove the bulk of the loss.  The largest shortfall occurred in Florida, followed by Richmond.  Retail revenue decreased 6.3%, mostly in Florida.  National revenue declined 19.2%, again mainly in Florida.  Publishing expenses in the quarter decreased 7.2%, not including severance charges.  The largest operating expense savings were in other departmental expenses, newsprint, salaries, and benefits. Newsprint expense declined 12.3% as a result of reduced consumption partially offset by higher average prices, up $49 per ton.  All of our newspapers are significantly reducing newsprint consumption.  Many have re-designed or combined sections and eliminated less-essential content.  The Bristol Herald Courier trimmed its page width to 11 inches this week and several others are queued up to follow.  Overall we expect to cut newsprint expense 5% this year, despite a 15% increase in price. We closed our printing facility in Charlottesville, Virginia, earlier this month.  We now print the Charlottesville Daily Progress in our Richmond plant and The Waynesboro News Virginian, formerly printed in Charlottesville, in our new Lynchburg plant.  Our ongoing consolidation program has reduced print sites from 25 to 13, saving both operating and capital expense. Turning now to the broadcast division, profit of $14.9 million compared with $18 million in last year’s second quarter.  Time sales declined 5% due to decreased local and national advertising that more than offset an increase in political advertising.  Political revenues in the quarter totaled $2.8 million.  The automotive, furniture and entertainment categories showed the largest declines in the quarter. Media General’s time sales performance has exceeded that of the television industry year-to-date.  According to the Television Bureau of Advertising’s monthly group survey, through May, the latest reporting period, industry time sales decreased 4.3%, compared to Media General’s 3.9% decline.  Broadcast expenses in the second quarter, excluding severance, decreased 4%.  The major reductions were in the categories of cost of goods sold, due primarily to lower sales by our equipment subsidiary, as well as lower spending for payroll and other production.  The Interactive Media Division had a loss of $656,000, compared with a profit in the same period last year of $359,000.  Total interactive revenues increased nearly 14% compared to last year.  Online Local advertising increased nearly 50%. Just as companies have reduced their spending in traditional media, they’ve also stretched out their projects with Blockdot, our advergaming subsidiary.  First-half sales have fallen below last year, but there are plenty of projects in the works and we expect a pickup in both revenue and profit in the second half.  Like all Media General operations, Blockdot is striving to improve its efficiency and productivity.  Despite the challenging economy, it is continuing to add to its roster of blue-chip clients.  Marketing through branded online entertainment is a growth business, and Blockdot is a leader in its field. DealTaker.com, our newest online operation, is our first performance-based marketing service.  Already an extremely efficient, high-margin business, it’s accelerated its growth through exposure in our other media.  Financially, DealTaker is exceeding its pro forma revenue and cash flow by double-digit margins.  Its unique visitors, visitor sessions, and registered members are all up from last year in the high double-digit range. Next, let me provide an update on our aggressive performance-improvement measures in Tampa.  As we mentioned last quarter, our three properties in Tampa – WFLA, The Tampa Tribune and TBO.com – have benefited since 2001 from co-location and cooperation.  This year, in the face of a punishing recession and with the benefit of our experience, we’re integrating those operations into a multimedia unit that’s oriented to customers and content, not to medium.  You’ll find best examples of early success in the metrics for TBO.com.  In the second quarter, monthly unique visitors grew by 27% compared to last year.  Visits to local news grew by 82% and pages views for local news grew by nearly 70%. The Tampa Tribune’s Sunday home delivery is now well ahead of last year and daily home delivery is closing in on last year’s numbers.  The Audit Bureau of Circulation reports that The Tampa Tribune and TBO.com combined reach nearly 1.2 million people weekly in the Tampa DMA.  That’s more than any other local media company, including the St. Petersburg Times, and it’s up 4.8% from the previous report.  Regrettably, the Tampa economy remains in a slump.  Some foresee a bottom at the start of 2009, when the Super Bowl injects some fresh spending.  The housing and auto categories, though, may remain soft throughout 2009.  It’s hard to foresee improvement in national advertising, specifically automotive and telecommunications, through the end of this year.  One bright spot is the prospect of a hard-fought presidential campaign, which of course will benefit the WFLA. To mitigate Tampa’s revenue losses, we’ve launched aggressive new business development programs.  Our local television sales in the second quarter were up 9.3%, and our local interactive revenue was up 22%.  We’ve launched an array of new publications, including Skirt!, a monthly magazine for women, and a series of community publications highlighting local people.  DayTime, the morning television variety show we produce in Tampa and syndicate around the southeast, now produces its cooking segments in co-branded partnership with Southern Living magazine.  That partnership has already stimulated sales. And, now, I’ll turn the presentation over to John.
John A. Schauss: Let me comment first on below-the-line items in the quarter.  Interest expense of $10.5 million was $4.6 million lower than last year’s second quarter, due mainly to lower interest rates but also aided by lower average debt levels.  We expect interest expense for the full year to be approximately $42 million, compared with $60 million for the full-year 2007 as a result of our de-leveraging plan and lower interest rates.  The sale of our interest in SP Newsprint on March 31 eliminated the equity earnings volatility we experienced in the past from that investment. Also of note, we recognized additional gain of $2.8 million related to the insurance proceeds from last year’s Richmond fire.  Working with our outside vendors, our operations personnel were able to find less labor-intensive and more efficient ways to clean the remaining presses and the facility. Next, I’d like to briefly discuss capital expenditures, which, in the second quarter, were approximately $4.5 million, compared with $18.3 million in the second quarter of 2007.  Of that amount, the publishing division invested $3.1 million, mainly on necessary upgrades to printing equipment in Richmond and Winston-Salem, and further enhancing our integrated advertising system.  The investments we have made in printing operations in the past few years are enabling us to further consolidate our newspaper printing sites.  We have gone from 25 to 13, including the recent consolidation that Reid discussed for some of our Central Virginia newspapers.  The broadcast division spent approximately $1.1 million, mainly for the final phases of construction for its new Myrtle Beach facility and for our new Central Graphics operation.  Interactive media division and corporate expenditures were approximately $32,000, primarily for information technology. Debt at the end of the second quarter was $830 million, down from $875 million at the end of the first quarter.  Debt outstanding today is $773 million, which reflects the sale proceeds from our TV stations in Panama City, Florida, and Alexandria, Louisiana. And, now I’ll turn it back to Marshall.
Marshall N.  Morton: As difficult as current business conditions are, Media General has several significant bright spots to look forward to in the second half of this year.  For example, we welcome the return of the Summer Olympics to our NBC stations and expect related advertising revenues to be approximately $13 million.  The economic downturn, and especially the difficulties in the automotive market, have had a dampening effect on Olympics advertising.  As a result, we have adapted our focus to target new to the Olympics advertisers on the local level.  Many of these clients could not obtain access to the Olympics before, and we now are succeeding in bringing them to the table.  Even in a soft ad market, we will benefit significantly from the Olympics on our eight NBC stations.  Our four newest NBC stations will contribute well more than half of the Olympics revenue we are expecting. Political advertising revenues, of course, will also contribute significantly.  We expect to generate at least $45 million for the year as a whole.  States in which we operate that are benefiting from Senator Obama’s campaign spending include Ohio, Florida, Georgia, North Carolina, and Virginia.  Ohio and Florida are typical battlegrounds, and his nomination has created a battleground opportunity for Georgia, North Carolina and Virginia.  Senator McCain’s campaign has placed advertising in Ohio and Virginia, and Florida is also expected to play a key role. Issues spending has just started.  The groups are making their initial plans now and should start in earnest in targeted markets shortly.  The exact markets remain undetermined, but history and current trends would indicate that Columbus and Tampa will be the most active of our markets for Presidential issue spending.  On the state level, our markets have eight active Senate races.  The most intense battles should be in North Carolina for Elizabeth Dole’s seat, Mississippi for Trent Lott’s recently opened seat, and potentially the Virginia seat vacated by John Warner.  All of the U.S.  House seats are up this year, and we should see strong activity in Tampa and Columbus. We’ve signed cable retransmission agreements this year that provided compensation for two of our stations.  Many of our cable contracts expire on December 31st of this year.  Others expire in 2009, and a few run into 2011.  We will begin negotiations with a number of these systems this summer.  In the last round of negotiations, we were successful in obtaining full carriage for our secondary channels as well as promotional trades.  Our TV stations provide content viewers want, and in the future, the only way cable systems will be able to receive carriage of our local stations will be if we receive compensation for that carriage. We recognize that industry fundamentals will remain under pressure in the near term, especially in view of the broad array of global economic headwinds.  For the longer term, however, Media General benefits from exposure to strong Southeastern growth markets and from our mix of assets.  We are in the process of re-evaluating the strength of all of the markets in which we operate with a view to optimizing that value.  Our focus is on above-average market share, including the development of new products and services to sustain that share over the long run, and margins that bear a relationship to historical returns. Let’s be clear that newspapers and television are a source of content, but its audience and market, not newspapers and television, that will be our source of revenue, profit, and growth in the future.  That assumes multi-media approaches.  Online is where the growth is, and our efforts are directed toward harnessing that growth and conforming our cost model to fit. That concludes our report.  We will now be pleased to take your questions.
Operator: (Operator Instructions) Your first question comes from Edward Atorino – Benchmark Capital.
Edward Atorino: You ran through a little quickly the $40 million annualized savings and how it breaks out this year and last year.  40% is in ’08 and the rest comes in ’09, is that right?
Marshall N. Morton: We’re saying that we began the program in ’07 so there was a little savings there.  $40 million is the total year-over-year but by the time we get it all implemented in ’08, we’ll recognize about 40% of that, so $16 million -- .
Edward Atorino: -- in ’08.
Marshall N. Morton: And we’ll say $40 million in its entirety in ’09.
Edward Atorino: You’ll get $40 million in ’09 plus the $16 million?
Marshall N. Morton: We’re saying that the total looking at ’07 versus where we are on an annualized rate today, the drop is $40 million, but we haven’t implemented it all at the beginning of ’08.  Had we done that, it would have been $40 million, but you’ll see a full $40 million relative to ’07 in ’09 and we expect to trap $16 million of that this year.
Edward Atorino: Any indication of forward bookings on television pacings at this level?
Marshall N. Morton: Let me point to Reid on that one.
O. Reid Ashe Jr.: Ed, no meaningful change in trends.
Edward Atorino: Even with political starting to kick in?  Or isn’t it kicking in yet?
O. Reid Ashe Jr.: Political doesn’t get booked this far in advance.  It all just sort of comes in tomorrow.
Marshall N. Morton: It’s also paid for in advance though.
O. Reid Ashe Jr.: Absolutely.
Edward Atorino: This is I guess the $80 million question.  Any sign of any kind of bottom anywhere and the classified categories, number one, and in retail, is there a possibility that some of the decline is due to push back in spending given the summer months and maybe for the free school period of fourth quarter, or is it just simply cutting back?  Or both?
Marshall N. Morton: Ed, I would like to hazard a guess but it would be only a guess and I really don’t have anything to base it on, sorry.
Edward Atorino: And lastly but not leastly, is there a bottom to the classified decline?  Are you starting to reach a core base of advertising?  If people are out of business, they’ve gone to zeroes.
Marshall N. Morton: I want Reid to answer part of that, but I’m going to say up front that we have wrestled with classified sufficiently over the past year or two that it’s very clear to us that we need other revenue forms as well and it’s pushed us very hard in the direction of direct placed advertising rather than looking for newspaper upsells.  When you look at Tampa online as an example, the business is pretty good but the classified fall off is so strong that it masks the new work that’s going on in the online or even in the legacy businesses.
Edward Atorino: And what are the new product revenues at a run rate or annual rate or... I mean, that’s a very impressive array of revenues you’ve got coming into new areas, and to what extent does it extend beyond Richmond?
Marshall N. Morton: Well it extends throughout the organization at differing levels.  Tampa is a good example, though, because they’ve got a good organization down there and a very strong website, but we’re building websites with comparable strength throughout the company through the interactive division.  Did you want to talk about that, Reid?
O. Reid Ashe Jr.: Well I can tell you that in the publishing division, something like 8% or 9% of their total revenue is in lines of business that we’ve created in the last five years and we’re working hard to accelerate the creation of more new lines.
Edward Atorino: Now the Skirt! and that stuff, will that be in the fourth quarter I guess?  Third and fourth quarter?
Marshall N. Morton: Yes.
Edward Atorino: Well, tough times, I guess.
Marshall N. Morton: Yes.  It’s very focusing though.  It gets us moving.
Edward Atorino: I imagine they do.  Thanks a lot.
Operator: Your next question comes from Richard Tullo – Sidoti & Co.
Richard Tullo: How much did you pay for DealTaker?  What revenue did it contribute to interactive in the second quarter, and what was the operating income for that particular business unit?
Marshall N. Morton: Rich, we haven’t given out any of that information.  When we announced the DealTaker acquisition back at the end of the first quarter, we resisted that.  It’s a private seller.  What I can tell you is that the margins are tremendously ahead of what we had pro-formad and its revenue and profit delivery is way beyond pro-forma as well.
Richard Tullo: Do you think this program to replace waning auto advertising during the Olympics with local advertising, is that going to offset any loss?  Is that $13 million estimate still on track?
Marshall N. Morton: Well, $13 million is our current estimate and that’s based on the sales t hat we’re making today.
Richard Tullo: And in regards to cable re-transmission, do you have any guidance as far as how much per sub you’re getting?
Marshall N. Morton: No, we’re not ready to give that out yet.  We are pushing quite hard.  You’ve seen estimates throughout the industry, I know, Rich on that score.  We’ve been happy with our negotiations so far and I think the cable providers understand that the future does require compensation.
Richard Tullo: And in regards to the $500 million asset write down, what percentage of that is going to be intangible with licenses and goodwill?  How is that going to break out?
Marshall N. Morton: Jon, do you want to talk about that?
John A. Schauss: Well we haven’t really broken that out fully, Rich.  The majority of course will be goodwill but there will be FCC licenses and network affiliations as well.
Richard Tullo: And am I to assume in my model that this will improve the tax rate with the asset sales, you know, lower your tax rate given that the asset sales probably can’t bring it up to 40% or so?
Marshall N. Morton: Well it will, Rich, I think that’s a good assumption, but not by a whole lot.  You’re looking at the intangible write down that we just talked about.  We do have some long-lived intangibles that are amortizing intangibles as well for part of the write down that we will have.
Richard Tullo: All right, and what was the average price of newsprint during the quarter?
Marshall N. Morton: During the second quarter it was about $600 per ton.
Richard Tullo: $600 even.  Okay, thank you.  That’s it, sorry.
Operator: Your next question comes from Barry Lucas – Gabelli & Co.
Barry Lucas: Could you just update us on Cap spending plans?  There was a pretty substantive reduction in Q2, so what does it look like for all of 2008 now and where would you put sort of the maintenance level or maybe where the plan would be for the next several years?
Marshall N. Morton: John Schauss has a list in front of him so I’m going to hand the question off to him, Barry.  We did pull back on CapEx in the second quarter and focused it on things that had either to be completed or had quick payback.
John A. Schauss: Barry, in the second quarter, of course, we had about $4 million of CapEx.  For the full year 2008, we’re looking at about $25 million to $35 million in CapEx.  That’s over the $78 million of 2007.  $25 million basically is what we’re looking at for our maintenance.  Going up that $10 million the $35 would be fire related.  As we look out to 2009, we’re right now forecasting or budgeting for about $30 million, between $25 million and $30 million of CapEx.
Operator: And at this time you have no further questions.
Marshall N. Morton: In that case, thank you very much, ladies and gentlemen.  We appreciate your interest.